Operator: Greetings, and welcome to the Informatica Second Quarter 2023 Earnings Call. It is now my pleasure to introduce your, host Victoria Hyde-Dunn Vice President of Investor Relations.
Victoria Hyde-Dunn: Good afternoon, and thank you for joining Informatica's Second Quarter 2023 Earnings Conference Call. Joining me today are Amit Walia, Chief Executive Officer; and Mike McLaughlin, Chief Financial Officer. Before we begin, we have a couple of reminders. Our earnings press release and slide presentation are available on our Investor Relations website at investors.informatica.com. Our prepared remarks will be posted on the IR website after the conference call concludes. During the call, we will be making comments of a forward-looking nature. Actual results may differ materially from those expressed or implied as a result of various risks and uncertainties. For more information about some of these risks, please review the company's SEC filings, including the section titled Risk Factors, included in our most recent 10-Q and 10-K filings for the full year 2022. These forward-looking statements are based on information as of today, and we assume no obligation to publicly update or revise our forward-looking statements, except as required by law. Additionally, we will be discussing certain non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for measures of financial performance prepared in accordance with GAAP. A reconciliation of these items to the nearest US GAAP measure can be found in this afternoon's press release and our slide presentation available on Informatica's Investor Relations website. With that, it's my pleasure to turn the call over to Amit.
Amit Walia: Well, thank you, Victoria. Thank you everyone for joining us today. I will start today's call by summarizing three key points. First, we exceeded Q2 guidance across top and bottom line metrics, driven by strong customer momentum from a cloud-only consumption-driven strategy. Second, we are expanding our cloud-native AI-powered IDMC platform capabilities to be the enterprise standard for data management, through our own product innovation and with the integration of our recent acquisition of Privitar, which is all about data access management and privacy solutions, we believe that IDMC is becoming the most comprehensive and unique platform for data management and enterprises globally. This is especially important with the rise of AI, driving further democratization of data and it's Informatica's differentiation in the market. Simply put, there is no AI without holistic data, quality data and governed data. And thirdly, given our strong execution in the first half of the year, we are raising our non-GAAP operating income and adjusted unlevered free cash flow after tax guidance for the full year. We remain committed to delivering balanced profitable growth, while driving forward with our strategic initiatives. With that, now let me discuss these topics in more detail. Turning to Q2 results. Total revenue grew 1% year-over-year, with subscription ARR growing 16% year-over-year and cloud subscription ARR growing 37% year-over-year. We delivered a record $530 million in cloud subscription ARR. I'm really proud of that one, because that exceeded the $0.5 billion cloud mark for the first time. We strengthened our cash position and beat the high end of guidance for non-GAAP operating income. The macro environment remained stable in the second quarter versus the prior quarter. The sales mix shift from self-managed to cloud subscription ARR is tracking as expected, as cloud subscription ARR now represents 49% of subscription ARR, up from 42% a year ago. Approximately, 85% of the quarter's cloud new bookings came from new cloud workloads and expansion with the remainder from on-prem customer migration, which saw a nice uplift in the quarter. Our customers are adopting the IDMC platform for new users and new use cases across organizations. In the second quarter, customers spending more than $1 million in subscription ARR increased by 22% year-over-year to over 213 customers. Customers spending more than $100,000 of subscription ARR, increased 8% year-over-year to 1,940 customers. Now, we have customized IDMC to deliver industry-specific needs and recently launched IDMC for ESG sustainability to support environmental, social and governance use cases. This follows previous launches of IDMC for state and local government, financial services, insurance, life sciences and retail and CPG verticals. Let me share with you a few customer stories. P&N Group, represented by P&N Bank in Western Australia and BCU Bank in New South Wales and Southeast Queensland has created a digital transformation strategy that aims to deliver more personalized banking for their customers across Australia, while at the same time ensuring the protection and integrity of customer data. In partnership with Snowflake, they selected Informatica's IDMC platform for data ingestion, data integration, data governance and catalog and data quality solutions to complement their digital transformation strategy, as they modernize their analytics to the cloud. Jaguar Land Rover is at the forefront of the rapidly changing automotive industry with a focus on electrification, digital services and data. Range Rover, Discovery and Defender Collections will each have a pure electric model, while Jaguar will be entirely electric. The company is undergoing a digital transformation that will see its operations including manufacturing and supply chain, strengthened by becoming more data-driven. They selected Informatica's IDMC platform for data discovery, curation and catalog use cases, including data quality, data and application integration, together with Master Data Management SaaS. Holiday Inn Club Vacations Incorporated is a resort, real estate, travel and vacation ownership company, with the mission to be the most loved brand in family travel they are undergoing total digital transformation which includes tech modernization, digital strategies for sales and marketing tech consolidation efforts, and data rationalization. In a joint partnership with Deloitte, they selected Informatica's Master Data Management SaaS and Cloud Data Governance and Catalog Solutions, to implement their digital transformation strategy. And Informatica will be working with the UKs. Ministry of Defense, to provide data governance and cataloging solutions. These customer success stories highlight the impressive adoption of IDMC cloud solutions across the globe. Next, we continue accelerating product innovation on IDMC's cloud-native AI-powered platform, to improve productivity and deliver trusted data to our customers and partners. We hosted thousands of global customers, prospects and partners at our Informatica World User Conference in May, earlier this year. It was an incredible opportunity to engage, with our community and see firsthand, how Informatica is helping democratize data as part of an organization's, digital transformation journey. I had discussions with many CIOs, CDOs and CTOs looking to standardize on IDMC. They all want fewer point solutions, they want to reduce the data complexity and simplify their operations within the data architecture to deliver immediate ROI and lower TCO. We also unveiled many industry-leading capabilities on IDMC. Now let me share some thoughts on AI, which I know remains top of mind in every conversation today. Let me begin by saying, I firmly believe that there is no value in AI, without holistic, clean, usable data that can be managed and governed at scale. Look, to get data into AI to create value, we need data management, bringing all of the fragmented data across an enterprise in one place, making sure it's of high quality garbage in, gives us garbage out, making sure there is governance and so on and so forth. That's what IDMC is all about. In fact, our journey with AI is not new. We launched our AI CLAIRE back in 2017 at Informatica World, that year. AI is already embedded in all our solutions leveraging ML algorithms and NLP on metadata, to drive intelligence and productivity accessing 50,000 metadata event connections, now leveraging 35 petabytes of active metadata in the cloud and processing 61 trillion mission-critical cloud transactions as of June. Our metadata system of record platform IDMC has the foundation to realize AI-powered digital transformation and the exponential impact it can have on all our customers and their organizations. And now, we are amplifying and taking forward our AI journey with CLAIRE copilot and CLAIRE GPT, allowing us to take a significant step forward with Gen AI.  Informatica's AI differentiation in this market comes from three factors. First, is an understanding of the enterprise data ecosystem. Very few vendors can claim an understanding of an enterprise's data ecosystem, which comes from being able to have a metadata inventory. But beyond that, being an independent and neutral and at-scale vendor in this space. The second is, training LLMs on metadata from thousands of data management projects. Again, only a handful of vendors if any, can do that at scale. And third is, comprehensive data management capabilities. When enterprises think of data management, they just don't think of ELT pipelines or ETL pipelines or just data catalog or just data quality in isolation. And enterprise data management project requires all these capabilities, working in tandem and on top of a metadata powered platform, which is only available with IDMC. CLAIRE's copilot is available now and CLAIRE GPT will be available in private preview this quarter, as a native IDMC service utilizing Informatica's processing units, to drive usage and help customers democratize and simplify the data management. Our consistent focus and commitment to delivering product differentiation and innovation have won us recognition from industry analysts and thought leaders. In IDC's Worldwide Data Integration and Intelligence Software Market Shares 2022 Report, Informatica ranked number one, for the seventh consecutive year. Our consistent performance and track record have been recognized in five submarkets: data ingestion and transformation, data quality, data intelligence, massive data management and dynamic data movement. We are pleased to be named the leader in the Forrester Wave for Master Data Management Q2 2023, for the fifth consecutive time. Now, as our product innovation capabilities increase, our partnerships have grown and continue to grow and deepen with hyperscaler and ecosystem partners such as Microsoft, AWS, GCP, Snowflake and Databricks Let me give you a glimpse of some of those. With Microsoft, we announced IDMC as an Azure Native ISV service, which will provide Azure customers with advanced capabilities, seamless access and data management normally reserved for first-party Azure services. We announced the availability of our cloud data governance and catalog native, in Azure as well. We also announced a private preview of seamless integrations with Microsoft Fabric, as one of the first ISV design partners for this offering. With AWS, we announced the availability of our cloud data integration free service directly from Amazon Redshift user console. Informatica is the only ISV partner with this native integration. We also launched Informatica secured agent Private Link in AWS and launched a PoD in Japan to scale our market reach in that region. With GCP, we announced the availability of our SaaS MDM service and the expansion of our footprint with the PoD in EMEA. At the Snowflake Summit, we announced the public previews of Superpipe and a native application for enterprise data integration. Our new cloud data integration free service via Snowflake Partner Connect and added support for Apache Iceberg tables. At the Databricks Data and AI Summit, we added support for Unity Catalog, Databricks Connect and Databricks SQL. We added support for Databricks Delta Lake for a power center to IDMC migration program. Turning to our GSI partners. We had record attendance levels at our Partner Summit at Informatica World this year. We expanded our partnership with ZS, a global management consulting firm to embed IDMC with ZS' cloud data ZAIDYN platform for life sciences. We launched a brand-new partner portal to make it easier for partners to find the critical content needed for sales enablement. We also made all our enablement boot camps free on the portal. And since launch more than 7,000 people have become certified through our cloud data integration BootCamp and MDM SaaS Champions BootCamp. And this will only grow from here. We see enterprises moving ahead with multiyear digital transformation projects to improve data intelligence and achieve better business outcomes. We have migrated 4.5% of our legacy maintenance base over to IDMC, up from 4% last quarter at a 2.1 conversion ratio. We saw continued progress with our migration factory program, with many of our GSI partners helping our customers to modernize and move to IDMC. We are excited about our cloud modernization program, which we will make generally available this quarter. This new program gives customers the ability to accelerate modernizing on-prem PowerCenter assets to IDMC with significantly lower migration time, lower cost and lower risk. Now let me discuss Privitar. We welcomed the Privitar team to Informatica family earlier in July. Privitar brings deep industry skills and expertise in security to access privacy and policy management to strengthen our cloud capabilities. Our shared vision to offer customers the ability to create new mission-critical workloads and use cases at IDMC across data governance, data catalog, data privacy, data quality and MDM offerings. This will enable our customers to allow data sharing and management while maintaining control and security through trusted and secure data. We are making good progress on our integration plans. And once fully integrated, we believe the IDMC platform will become the most comprehensive and differentiated cloud data management platform in the market, expanding the product innovation lead over legacy and single point solution vendors because of its scalability, efficiency and unique offerings. Now as I wrap up, I'm thrilled and pleased to raise our non-GAAP operating income and adjusted unlevered free cash flow after tax guide for the year. We are managing the business for long-term durable growth and continued profitability while focusing on executing on our cloud-only consumption-driven strategy. We are building a best-in-class AI-powered platform at scale and see a long runway ahead in displacing legacy and single point solution vendors. I am excited about our future opportunities for cloud growth. I want to thank all of my Informatica colleagues for their hard work and continued commitment. I would also like to thank our partners, customers and shareholders who are supporting us. With that let me turn over the call to Mike to take you through more details. Mike take it away. 
Mike McLaughlin: Thank you, Amit and good afternoon, everyone. Q2 was a solid financial quarter across the board with key growth and profitability metrics exceeding our expectations. I'll begin the review of our Q2 results by reminding everyone how to best understand Informatica's ARR and GAAP revenue. Our ARR and revenue fall into three major categories: cloud subscriptions, which we have guided to ARR growth of 35% in the full year fiscal 2023; self-managed or on-prem subscriptions, which we no longer actively sell and which we have guided to decline year-over-year in fiscal 2023; and maintenance from perpetual licenses sold in the past, which we also expect to decline going forward. We also earn a relatively small amount of revenue from implementation and education services, which we expect to decline slightly this year as our professional services partners performed more of that work for our customers. Service revenue is not counted as ARR. With that in mind, I'll walk through the components of our annual recurring revenue. Total ARR was $1.55 billion, an increase of 8% over the prior year, driven by new cloud workloads and steady renewal rates. We added $111 million in net new ARR versus the prior year. Foreign exchange negatively impacted total ARR by approximately $1.9 million on a year-over-year basis in line with expectations when we set our guidance in May. Turning now to the components of ARR. Cloud subscription ARR was $513 million, a 37% increase year-over-year and $6 million above the high end of our May guidance. Cloud subscription ARR represents 49% of our total subscription ARR, up from 42% a year ago. New workloads and strong renewal rates drove cloud subscription ARR growth of $139 million year-over-year. Approximately 85% of the quarter's cloud new bookings came from new cloud workloads and expansions, with the remainder from on-premise customer migrations. Cloud subscription net retention rate was 116% for the quarter flat year-over-year. Self-managed subscription ARR declined slightly in the quarter as expected to $530 million. This was down 1% sequentially and up 1% year-over-year. Given our focus on new cloud sales we expect self-managed subscription ARR to continue declining throughout the year and show year-over-year declines starting next quarter. Subscription ARR, which is simply the sum of cloud and self-managed subscription ARR, grew by 16% year-over-year to $1.04 billion, which is more than $12 million above the high end of our May guidance. Subscription ARR now represents over 67% of total ARR, up from 62% a year ago. Foreign exchange negatively impacted subscription ARR by approximately $1.5 million on a year-over-year basis in line with expectations when we set our guidance in May. The third component of total ARR is maintenance, which represents 33% of total ARR. Maintenance ARR was down 7% year-over-year to $505 million in line with expectations. As a reminder, we no longer sell a meaningful amount of perpetual licenses. As a result, we expect maintenance on perpetual licenses to continue declining gradually at a fairly constant rate. In total, these three components of total ARR yielded 8% growth for the quarter, which was driven by solid growth in our cloud subscription ARR, offset by gradual declines as we expected of self-managed subscription ARR and maintenance ARR. These dynamics are the direct result of our cloud-only consumption-driven strategy and we expect these trends to continue in future quarters. We saw a good growth in our average subscription ARR per customer in the second quarter growing to over $275000, a 13% increase year-over-year. We have over 3780 active subscription customers, an increase of 94 subscription ARR customers year-over-year. Now I'd like to review our revenue results for the second quarter. GAAP total revenues were $376 million, an increase of 1% year-over-year. This exceeded the high end of our May guidance range by $11 million due to a slower-than-expected decline in maintenance revenue and strong renewals, partially offset by lower professional services revenues. Foreign exchange negatively impacted total revenues by approximately $2.2 million on a year-over-year basis in line with May expectations. Informatica's shift to cloud subscription sales and away from self-managed on-prem sales is progressing as expected. As I previously described, this creates an accounting-driven GAAP revenue headwind in the short term. If our mix of cloud versus self-managed new bookings were the same this quarter as they were in Q2 last year, total revenues would have been approximately $22 million higher than we reported this quarter, increasing our year-over-year revenue growth rate to approximately 7%. Subscription revenue increased 10% year-over-year to $228 million, representing 61% of total revenue compared to 56% a year ago. Our quarterly subscription renewal rate was 92%, down 2 percentage points year-over-year due to a decline in self-managed renewal rates. Maintenance and professional services revenues were $148 million, representing 39% of total revenue in Q2. This is due to lower than expected professional services revenues and the gradual decline in maintenance revenue. Standalone maintenance revenue represented 33% of revenue for the quarter. Implementation, consulting and education revenues comprised the remainder of this category, down $7 million year-over-year representing 6% of total revenue. Turning to the geographic distribution of our business. US revenue declined 1.6% year-over-year to $239 million, representing 64% of total revenue while international revenue grew 6% year-over-year to $137 million. Using exchange rates from Q2 last year, international revenue would have been approximately $2 million greater in the quarter, representing international revenue growth of 8% year-over-year. Consumption-based IPUs are a frictionless way to access the IDMC platform and are a core part of our strategy. Approximately 51% of second quarter cloud new bookings were IPU-based deals. IPUs now represent 43% of total cloud subscription ARR up 2 percentage points sequentially. Our new flexible IPU consumption model is also gaining traction and we expect IPU adoption to increase during the year. Now, I'd like to move on to our profitability metrics. Please note that, I will discuss non-GAAP results unless otherwise stated. In Q2 our gross margin was 80% consistent year-over-year even as our software sales mix shifts to the cloud. Operating expenses were consistent with expectations. Operating income was approximately $88 million for the quarter growing 25% year-over-year and exceeding the high end of our May guidance range. Operating margin was 23.3%, a 4.5 percentage point improvement from 18.8% a year ago. Adjusted EBITDA was $92 million and net income was $48 million. Net income per diluted share was $0.17 based on approximately 291 million outstanding diluted shares basic share count was approximately 287 million shares. Q2 adjusted unlevered free cash flow after tax was approximately $77 million, better than expectations due to higher collections and other favorable working capital dynamics. Adjusted unlevered free cash flow after tax margin was 20.5%. Cash paid for interest in the quarter was approximately $37 million. Keep in mind that our free cash flow from quarter-to-quarter can be quite volatile based on working capital fluctuations and other non-linear cash items such as tax payments. We ended the second quarter in a strong cash position with cash plus short-term investments of $821 million. Net debt was $1.03 billion and trailing 12 months of adjusted EBITDA was $388 million. This resulted in a net leverage ratio of 2.7 times. We expect the business to naturally delever to below two times by the end of 2023, which is six to 12 months ahead of our commitment at the time of the IPO. To summarize our year-to-date results, we are pleased to have executed at or ahead of the guidance we laid out at the beginning of the year across our business. Now, I'll turn to full year guidance. We delivered better-than-expected bottom line results in Q1 and Q2 and are raising guidance for non-GAAP operating income and adjusted unlevered free cash flow after tax. We reaffirm previously issued guidance for revenue and ARR metrics, reflecting confidence in our cloud-only consumption-driven strategy despite the continued uncertain macro economy. We expect the acquisition of Privitar to be immaterial to both revenue and earnings in 2023. Therefore, it does not impact our guidance. With this in mind, we're raising guidance for the full year ending December 31, 2023 as follows. We now expect non-GAAP operating income to be in the range of $420 million to $440 million, representing approximately a 23% year-over-year increase at the midpoint. We now expect adjusted unlevered free cash flow after tax to be in the range of $370 million to $390 million, representing approximately a 32% year-over-year increase at the midpoint. You can find the details of our full year guidance in the press release we filed this afternoon. As mentioned, we are reaffirming our previously issued revenue and ARR guidance for the full year. Next, turning to the guidance for the third quarter. We expect our sales mix to continue to shift from self-managed to the cloud. Therefore in Q3, we expect cloud subscription net new ARR to grow while self-managed net new ARR is expected to decline on both the sequential and year-over-year basis. And as expected, maintenance revenue and ARR will continue to decline steadily. With this in mind we are establishing guidance for the third quarter ending September 30 2023 as follows. We expect GAAP total revenue to be in the range of $395 million to $405 million, representing approximately 8% year-over-year growth at the midpoint of the range. We expect subscription ARR to be in the range of $1.05 billion to $1.06 billion representing approximately 13% year-over-year growth at the midpoint of the range. We expect cloud ARR to be in the range of $537 million to $543 million, representing approximately 35% year-over-year growth at the midpoint of the range. We expect non-GAAP operating income to be in the range of $110 million to $120 million, representing approximately 37% year-over-year growth at the midpoint of the range. For modeling purposes, I would like to provide a few more pieces of additional information. First, we expect adjusted unlevered free cash flow after tax for the third quarter to be in the range of $65 million to $85 million. Second, we estimate cash paid for interest will be approximately $39 million in the third quarter. And for the full year, we estimate cash paid for interest will be approximately $149 million. Third, with respect to income taxes our Q2 non-GAAP tax rate was 23% and we expect that rate to continue for the full year 2023. We estimate full year 2023 cash taxes to be approximately $100 million. On a GAAP basis we expect the significant volatility of our income tax provision and rate to continue. For the full year 2023, we expect a GAAP tax provision in line with our cash tax. And lastly, our share count assumptions. For the third quarter of 2023, we expect basic weighted average shares outstanding to be approximately 289 million shares and diluted weighted average shares outstanding to be approximately 294 million shares. For the full year 2023, we expect basic weighted average shares outstanding to be approximately 288 million shares, and diluted weighted average shares outstanding to be approximately 293 million shares. And finally, before starting the Q&A session, I am pleased to announce that we have rescheduled our inaugural Investor Day to Tuesday December 5th in San Francisco. We hope that many of you can join us in person. Operator, you can now open the line for questions.
Operator: Absolutely. [Operator Instructions] Our first question comes from Matt Hedberg with RBC. Please proceed.
Matt Hedberg: Thank for taking my questions. Maybe just to start from a macro perspective it sounds like you saw fairly stable results which is good to hear. Maybe just a double clicking on that a little bit more. Could you talk about some of the trends maybe towards the end of the quarter and kind of the first month of Q3? Kind of continued stability is that kind of what you're seeing despite obviously some sort of still macro uncertainty?
Amit Walia: Hey, Matt, good to hear from you. Yeah, I would say that as I said like Q2 was pretty stable. We didn't see anything -- or anything like that compared to when we entered the year. And I think I would say we saw July in a similar fashion. So I think the environment it's stable. I wouldn't say that, it has significantly improved or anything it's pretty stable. So I think we feel – hence, we feel good about where we are and where we think where the second half of the year would be. 
Matt Hedberg: Got it. And then following your user events and obviously you talked on this call about CLAIRE copilot and CLAIRE GPT. Could you talk a little bit more about like -- obviously you probably haven't assumed much from either this year in estimates. But do you expect that to be a monetization effort in kind of calendar 2024? Just how should we think about some of these GenAI products flowing into growth?
Amit Walia: Yeah. I think when you think of enterprises Matt it is so different from consumers because I think today you can take ChatGPT and go put it on the worldwide web and do whatever you want to do. But that's really different from how an enterprise thinks of it. In fact I was in -- I've traveled across the globe in the last few months since the conference as well. And I think I would say that this thing -- if I use the phrase GenAI is most overhyped in the short term tremendously undervalued in the long term. So enterprises are in fact it's a conversation topic everywhere. Everybody is figuring out their first second third use case how do you begin? And I think the question in everybody's mind is then if I do that then, what's the governance and privacy implications around it. So I think everybody is marching down that path, is figuring out the use cases, the reference architecture and the implications around it. I think I see that as a 2024 thing in general for enterprises. Of course, things are starting to happen. We have CLAIRE GPT in preview and customers are using it to figure things out at their-end. But proper use cases going creating value will be -- for enterprises will be more 2024.
Matt Hedberg: Got it. Thanks a lot guys. Congrats on a quarter.
Amit Walia: Thank you.
Operator: Our next question comes from Fred Havemeyer with Macquarie. Please proceed.
Fred Havemeyer: Hey. Thank you very much. I think, I wanted to follow-up a bit on the Generative AI topical question with something related, but not directly on CLAIRE GPT which is a really exciting product you see coming out of the pipe here. But just generally, how are you seeing enterprises trying to adopt Generative AI like, where are they struggling? What are the key problems they're trying to address, especially with their own data? And is there any way that perhaps like Privitar or generally your ability to add governance layers over data, can help enterprise adoption of Generative AI?
Amit Walia: Yeah, Fred that's a great question. So I think I'll give you some examples of use cases. One example is we have a large healthcare premium disburser. And think about this way that there are two issues. There's a customer side issue, if they reject a return or a claim. And there's a revenue leakage if they actually approve a bad claim. And I think they're experimenting in that context basically improving their whole producing the bad claims and also making sure that the right claims get approved. And their efficiency rate or improvement rates have gone from low-80s to high-90s as they're playing around with that. Think about that that's a massive revenue opportunity for that customer as much as data productivity. On the other hand, basically when customers are thinking about a large campaign in the context of understanding churn how quickly can you -- with the help of GenAI can you build your underlying infrastructure and think about frameworks on top of it whether it's good quality data so that your simple brand campaign or an e-mail campaign improvement can go from low-single digits to high-single digits or maybe very high-single digits. Those are all the things that we are seeing customers do. And that's where -- by the way in case management customer service front office that's where the first use cases are emerging very rapidly. We're seeing all of them across an enterprise that will happen. I see as I talk to customers happening as we speak where they are using the first use cases. Turning to Privitar, one of the biggest issues for enterprises is as they looked at -- think in our world CLAIRE GPT boy, I can democratize all the stuff and give it -- put it in the hands of so many users but comes, the biggest issue for GenAI for everybody if democratization creates a governance challenge. And the right person, accessing the right information, and the right use case and that's where data access management became very important. We saw Privitar and a lot of those large customers trying to help them solve that problem embedding them in IDMC will further accelerate -- allowing IDMC to use by many, many, many users across an enterprise. So access management becomes a very fundamental part of governance and privacy. So we see that as an accelerator.
Fred Havemeyer: Excellent. Thank you very much for that. And a follow-up here regarding the -- just the rise in transactions per month that are being processed, it was really impressive seeing that there's 58% year-over-year growth and you're now translating almost 61 trillion cloud transactions per month. Would just love to get some context there around how that relates overall to your just progress in cloud? It seems like you have substantial momentum. Is this rise in transaction volume something related to your IPU consumption model or just generally customers doing a lot more in cloud and with the IDMC platform? Thank you.
Amit Walia: All of the above, ultimately, see look all our net new sales are driven by IPU. Obviously, customers who are non-IPU before also using the, cloud platform. So of course that's what its both. It's basically customers running more workloads in our cloud. That's what it is. And we want that number to be absolutely higher-and-higher. In fact, we continue to see that number to be higher than even our ARR growth tells you that customers are running ahead and that's a good thing. And that obviously means more IPU usage more workload usage and more operational workload usage. So that's a great indicator and we pay a lot of close attention to that.
Fred Havemeyer: Thank you.
Operator: Our next question comes from Andrew Dowinski -- or Nowinski excuse me with Wells Fargo. Please proceed.
Andrew Nowinski: Thank you, and good afternoon, and congrats on the nice quarter. I wanted to go back to your comments on the macro. I think you said, a number of times in the prepared remarks it remains stable. And you said, it also looks pretty stable heading into Q3 here. So what other trends concerned you enough to not roll through the beats that you saw in Q2 into your annual guidance for the year?
Amit Walia: Sure Andrew. I think, I said stable. I didn't say that everybody is opening the first wing and spending as if there was no tomorrow. So I think we got to be thoughtful. Look, I think you've probably seen -- we've been doing earnings calls for almost 1.5 years. We're very prudent and thoughtful company. I don't want to get ahead of ourselves. We closed a good first half. I think on the other hand, I can expect somebody asking the question, "Hey, second half is bigger than the first half, how do you think that you've derisked the second half? And I think what we just did is basically a step in that direction of derisking the second half. We had teams performed very well. First half of a big transition year. I think we -- our strategy continues to come. We believe that the overperformance on the top 10 allows us to actually navigate the second half assuming that the world doesn't change fundamentally in a good or bad way. But at the same time look at this way how many cloud transition happened? And I repeat that how many cloud transition in the world have happened of the companies that actually have accretive bottom line right? Last I checked it was almost a null set. So us raising the bottom line actually is a show of strength that we feel very strongly about our overall business model and how we are executing. 
Andrew Nowinski: Okay. That makes sense. Thank you, Amit. Just a follow-up question. I just want to get a clarification maybe on your NRR. Cloud NRR was very consistent I'd say within the historical range that we've seen but maybe the total subscription NRR dropped below that coveted 110% level down to 107%. So, just is there any more color you can provide on maybe what drove the overall subscription NRR to drop down to 107%? 
Mike McLaughlin: Yes. Sure Andrew. It's just the weighted average impact of the decline in self-managed, i.e. on-prem subscription retention because we're not selling anything new into the top of the funnel at least not a meaningful amount. We're not selling new on-prem to existing on-prem customers. So, our net retention rate is going to fall below 100% at some point. And you could I mean as we're trying to be very, very clear in guiding you all our total subscription ARR is going to begin to decline next quarter both on a quarter-over-quarter basis but also on a year-over-year basis or percentage basis. Exactly as we've expected it's totally going to plan. And it's just the blended impact of that on the total rate. 
Andrew Nowinski: Yes. So, you didn't lose those customers you just didn't sell them anything new is that what you're saying? 
Mike McLaughlin: Well, there's some churn in there of course. In any subscription base in any period you have some churn. But if you take normal churn without selling new on top of it that's how you get a degrading net retention rate. 
Andrew Nowinski: Okay. Thanks guys.
Amit Walia: And Andrew for us I think Mike said that very well as he broke down the three ARRs focus on the cloud number. That's the only growing number. In fact that's a number that's a growing one. Ultimately, that's why we called out the cloud NRR earlier this year for you to basically see all the dynamics of that business. The rest of the business becomes a mathematical average weighted average of whatever cloud gives. Cloud is the one that's giving. Rest are all basically diluted. 
Mike McLaughlin: Yes. And maybe to put that in yet another way to think about it. We're not asking you to ignore everything about the cloud because rest of this is part of what you own when you buy the stock. But net retention rate becomes a meaningless metric in a business you're not selling into. We don't give you net retention for maintenance because we're not selling new perpetual licenses. It just becomes about the churn rate in both maintenance and that's what's happening in the self-managed part of our subscription business. So, NRR the only meaningful metric to focus on is cloud. Does that make sense?
Andrew Nowinski: Yes, it does. Thank you.
Operator: Our next question comes from Brad Zelnick with Deutsche Bank. Please proceed.
Brad Zelnick: Great. Thanks so much. It's good to see the stability and it's really great to see the profitability progress in the business which Mike I wanted to ask you about on the cash flow guide. I think you talked about benefits from working capital. Can you just double-click for us all the various components that get you to raise the full year? And really what I guess I'm trying to better understand is things that maybe repeat and things that don't. Cash taxes for example. What should we think about as we then maybe model the out year for free cash flow? Thank you.
Mike McLaughlin: Yes. So, on a yearly basis our unlevered free cash flow all the puts and takes that you see quarter-to-quarter in working capital and taxes tend to smooth themselves out. And with that said I wouldn't encourage you to think about there being any different dynamics in terms of things like cash cycle days and cash tax rate and so forth when you're thinking about the out year versus this year. The fluctuations are really quarterly collections days payable those sorts of things in a given quarter. But the year-to-year dynamics as you can see by how we raised our unlevered free cash flow guide by more or less the same amount we raised non-GAAP operating income. No real change.
Brad Zelnick: Okay. I appreciate that help. And maybe just for you Amit. I know we're well into it but any comments just in terms of how reps are adjusting to the cloud-only and IPU-led sales motion? What's maybe tracking as you'd expect along that journey? And maybe what still remains to happen as the field kind of shifts and adapts to this? 
Amit Walia: Yes, I think Brad the team has shifted very well. Obviously, first half is first half and we have full second half. I think I would say I'm quite enthused and pleased by how the field teams have taken this and run with that. As I said earlier, this year this actually gives simplification but obviously any simplification takes some time to settle down to it. But I think the team is actually, if anything have been very thrilled with this, a lot of enablement has gone in we were ready for this. So, I think so far so good results are there to be seen. And our goal is to make sure that we do all the things to accelerate this and make sure this year basically we go forward with it. So I feel pretty good about how the sales teams are leading with it. And I think as Mike and I have said that before also, we continue to see this as the -- also the further simplification of our business model, right. I think there is room over there as we think about our overall company and we continue to become more and more cloud-only to continue to basically further simplify other parts of the company to make sure we are -- we go faster and much more -- at a much more accelerated pace.
Brad Zelnick: Great. Thanks so much for taking my questions. 
Amit Walia : Absolutely.
Operator: Next question is from Alex Zukin with Wolfe Research. Please proceed.
Ethan Bruck: Hey, guys. This is Ethan Bruck on for Alex Zukin. Thank you for taking the question. I just wanted to ask Matt's question a different way. Can you just talk a little bit about the shape of the quarter? And just if you began to saw a little bit of budget unlock towards the end of the quarter. And then a little around like the cloud migration, so like the rate of change has accelerated probably two consecutive quarters. I was just wondering if you could point to anything that's driving that migration activity, whether it's just folks wanting IPU consumption and better spend visibility people more interested in AI. Just curious how that migration activity is performing relative to your expectations? 
Amit Walia : I think the migration, I said that the migration is these are operational workloads. And needless to say, we put in a lot of effort to make sure that those operational workloads can migrate at an accelerated pace. Our own tech, we obviously led with our own services to create playbooks. However, I talked about how we're enabling partners to go lead with it. Some partner enablement has happened further simplification of the migration process, all of those things take time. And I think they are gradually bearing fruit, and you can see that all of that starts. It's a snowball effect. It starts compounding over a period of time. I feel very good about. In fact what we launched the next migration technology innovation that will come out later this fall is another step in that direction. So we continue to see that. Look the reality is at the end of the day, our customers are running operational on-prem workloads on PowerCenter. They know that work like a charm. They know that these are industrial-grade workloads. When they look at our cloud, they basically see those capabilities and more and they're very excited to go over there. We just have to continue to make this journey front to a lot more faster, lower risk and cheaper and we've been maniacally focused on that one. So, all of those efforts are bearing fruit. And look once the customers land there, I've always said, if you run mission-critical workload in the cloud, other nice to have workloads get subsumed over there. If you begin with nice to have workloads, you get wiped out over a period time. So, I think, we land these we have tremendous runway to then consolidate many other things that are running across an enterprise. 
Ethan Bruck: Got you. That makes sense. And then just a quick follow-up. I can appreciate the prudence in the cloud ARR guidance. I guess just to think about like what you're factoring in the guide in terms of macro trends? I know you said 2Q has been very stable versus basically what you've seen throughout the beginning in 2023. I'm just curious if you're embedding for things to get a little worse a downtick just curious how we think about that? And if there's any directional way to think about where cloud NRR can trend in the back half? Thank you.
Amit Walia : I think on the guide, our simple assumption is that the world will neither get better nor worse. I think, if you remember, when we were all here talking a couple of months ago, when we started that we gave a guide. And then I remember when we were talking a couple of months ago, the whole banking -- many banking crisis has happened and everybody thought would it get worse, would it get better? And we said look we're just holding it. So I think when I say, stable, I see stable in the context of nothing has gotten worse. Well nothing has gotten materially better also. Enterprises still remain artful and cautious in enterprise spend. I think us executing better is what is showing up here. And I don't think that -- I think it will be very non-prudent of me to get ahead of myself and assume something is turning around and making it a lot better walking into the second half. I think that's not what we're assuming. And in that context, we're saying let's take the first half overachievement and derisk the second half for now and continue to watch things carefully and keep executing. When we meet here in a few months later we'll share more. But I feel very good about where we are and how we are thoughtfully guided for the top line. And the NRR question, sorry, if I forgot. NRR, as you know right, NRR is always up and down. You can never guide to NRR every quarter. You all know, right? NRR can be flat although under the cover that cloud grew, because we could have been acquiring a lot of first-time new cloud customers that are not accretive to NRR. So when we think of NRR, we said -- we shared with you this number, we look at it in a holistic one-year basis. On a quarter-to-quarter basis ,we don't get too caught up in it, because remember I take a cloud customer as long as the cloud ARR is going. If I'm getting a new customer to zero additive to cloud NRR, it's still an invaluable customer for me. So I look at it that way. So I wouldn't get on the -- caught up on the cloud NRR on a quarter-to-quarter basis that much. 
Ethan Bruck: Thanks. Congrats again.
Amit Walia : Thank you.
Operator: Our next question is from Pinjalim Bora with JPMorgan. Please proceed.
Pinjalim Bora : Great. Hey, guys. Thanks for taking the questions. One more philosophical question for you on AI. One of your customers we spoke to said, Informatica is putting itself in a place of power with open APIs, which is an interesting comment. But when I talk to investors, a lot of people kind of bring about companies like Databricks, which are doing a lot of things. And it seems like there is a tussle between -- also when I talk to customer’s right there's a tussle between the IT people who wants to use Informatica and the data science developers who want to write Python scripts on top of Databricks. How do you think of that tussle kind of plays out over time?
Amit Walia: So Pinjalim, I think you talk to the customer obviously and they actually said that we put ourselves in a position of power, because what we are doing with our platform is very unique. I actually never look at anything like that as a tussle. Look you ask me a philosophical question, I'll give you a philosophical answer. We all live in a very big TAM. We all have a tremendous amount of opportunity. There is -- in the world of tech there is always a slight overlap somewhere or the other with anything and everything. I think the entire security industry has an overlap in Microsoft, but they all exist, right? So I would just say that -- I look at it this way that there is always in some area you'll find some overlap. Databricks is a great partner. You saw what I shared about integrating with Unity, the SQL, Delta Lake We are doing a lot of migration workloads, moving their IDMCs, leveraging IDMCs the customer is going to Delta Lake -- the Lake House. So I look at the world as such a big TAM and we have so much to do. That's such also when I look at our TAM, there is that part of workload being written but then I have MDM, I have governance, I have cataloging, I have so much more. I got tremendous stuff to do. There is always going to be a corner case where it may feel like somebody is competitive but that's not technically true. Arguably, Databricks is super competitive to Microsoft Azure because the Lake House competes with Azure Delta Lake. So we'll look at the world they live in over there right? So I would just say that's how I see the world, a philosophical answer back to a much broad question you asked but they're a great partner.
Pinjalim Bora: Yeah. Yeah, understood. I think that's a thoughtful answer. One question on ARR. Obviously you came in ahead of where people were expecting. But when I was looking at kind of net new it seems like it's on cloud ARR. It seems like you added the same amount versus a year ago. Maybe I'm thinking this wrong. But as you are leaning in on cloud, you're no longer selling self-managed. Should you be adding more cloud versus a year ago on a net new basis?
Mike McLaughlin: Yeah, on a yearly basis that's how we're looking at it. Quarter-to-quarter volatility makes that a little dicey to draw extrapolations from one quarter of performance. And as you can see from our guide, third quarter versus Q4 this will be another back-end loaded year as 2022 was and as 2021 was. In fact on a NAR basis, a little bit more back-end loaded than it was last year even then. So yes we expect NAR to grow on a cloud basis for the full year, for sure. And we have high confidence in how it's going to unfold for the rest of the year based upon what we see in the pipeline, based upon what we see in the products and the go-to-market maturing and hitting our stride now that we've announced and we're in the third quarter of our cloud-only journey.
Pinjalim Bora: Understood. Thank you.
Amit Walia: Thanks, Pinjalim.
Operator: Our next question comes from Koji Ikeda with Bank of America. Please proceed.
Natalie Howe: Hey, this is Natalie Howe on for Koji. Thanks for taking my question. Looks like sales execution was pretty good in the quarter. We wanted to ask have you made any adjustments in the go-to-market strategy, or can you provide more color on what efforts have helped increase close rate and what will help to see that through the end of the year? Thanks.
Amit Walia: Natalie, I think I appreciate that. Obviously there's a lot of work going on to make sure that we transition to this new model effectively. I would say that it all goes down to our focus on the right use cases for the enterprise and above commercial customers where IDMC generally plays a tremendous value creation for them. And, obviously, making sure that we have other things the team has done a good job of this is orienting towards use cases a lot. And obviously that's one area that customers obviously resonate a lot. And our focus on the CDOs, the value prop going towards the CDOs because in some cases CDOs have direct budget. In some cases even if they don't have they have a big influence. So all of those things between our -- in our go-to-market organization and a maniacal focus on operational execution. I think Mike mentioned pipeline create we see pretty healthy pipeline create. So I think all of those things are bearing fruit. And I think we, obviously, have a big second half in front of us and the team is like heads down focused on that right now.
Natalie Howe: Awesome. Thank you.
Operator: Our next question comes from Howard Ma with Guggenheim. Please proceed.
Howard Ma: Thank you, and great to see the team actually hitting according to plan. Amit, building on some of your previous responses. So on -- my question is on GenAI as well. Given the importance of data quality, data governance, data privacy to building and training AI and ML models including GenAI, are you starting to see a ramp in pipeline conversions for these specific product SKUs, or are they still to come? And the related question is, are there barriers to adoption near term? We can't help but wonder if there are because such as -- and barriers might not be -- some of them might be out of your control, right? So there could be budget constraints not accommodating the demand or I guess in other words not being able to justify that the business case or maybe on your end maybe you need to make additional investments in sales enablement. It's just -- it's hard to argue against Informatica's unique position in data integration and intelligence. But I guess, what I was just really trying to figure out how does the realization happen right? What the cadence is? Thank you.
Amit Walia: Absolutely, Howard. No -- so Howard, I think obviously, no values for us. I would say that absolutely this -- when I was like literally Informatica World post after that I was in Europe and I was traveling across multiple cities in the US as well. And I think all -- the way when customers have a dialogue with us is that hey, absolutely they want two things with GenAI. They are -- as I said all enterprise customers are right now feverishly working on how do they get there, what's the first use case, what's the second use case, what's the different architecture? And they get comfort from the fact that they can actually do it on one platform. So in fact, when our sales teams it opens up the door for them because those are all conversation starters for us. And second is no customer wants to invest in a technology where they feel like it's a dead end and has nothing in AI. So that makes a great entry point for us that even if in the short term let's say they're trying to do a Lake House project which maybe has nothing to do with AI as an example. But they know that as they do all the work on us -- on our platform, they can leverage it into their next first GenAI project. That's how it becomes a conversation starter, creates pipeline, have deal closures. Even if the customer is in the month of August not going to go to a GenAI project, but they know that when they're investing in us come January when they want to do something it's not a dead end. All of those things are happening. And that's how I see the opportunity shaping up for us. The point I just made on GenAI is that look as I said take out the individual user use cases enterprise-wide use cases end up being complex and those are all in the grunt mode of farming and shaping and you will see a lot of them happening in 2024.
Howard Ma: So I guess just a super quick follow-up because I asked a really long question. Can you comment on are you seeing increased pipeline conversion for your data quality, data governance and privacy like for those specific SKUs that I think we established in this call that it -- and I think through all of our research that you do need good data quality and governance and privacy right for the GenAI models, but is it manifesting today, or is it maybe more back half event or 2024?
Amit Walia: Absolutely. So data quality or data governance and data privacy was very, very fast-growing capability for us in the second half and even for the full first half to be very honest to that specific question. And I think -- and then when you think of Privitar that acquisition lends us in that journey also because in the AI world and GenAI democratization is happening enterprise is getting very nervous about data access management. So that was -- that acquisition was very much centered in that context.
Howard Ma: Okay. Thank you.
Operator: Thank you for your questions. There are no longer questions waiting in queue, so I will pass the management team for any closing remarks.
Amit Walia: Well, thank you. Well, look I appreciate everybody joining today. And I just want to wrap up today's call by sharing my perspective on where we are. Look as we Informatica continue to accelerate our innovation-led cloud business model transformation, which as many of you know is not necessarily the easiest and takes a lot of hard work, I couldn't be more proud of our success. Transformations are not easy, but we have been unique in doing that, while not only growing our cloud business, but also growing our profitability and cash flow. That's what I was mentioning when Andrew asked the question. There are very, very, very few companies that are able to do both. And that is all because we've had a long-term strategic focus on building our IDMC platform and working tirelessly to make IDMC be powered by our AI CLAIRE which we launched back in 2017. Today, IDMC powered by our AI CLAIRE has become the data management platform of choice for enterprises across the globe and I couldn't be more thrilled for that. We have a lot of work ahead of us, but I couldn't be more proud and thankful to the Informatica team for bringing us here middle of the year. Thank you everyone.